Operator: Thank you for standing by. This is the conference operator. Welcome to the Ballard Power Systems Third Quarter 2025 Results Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Sumit Kundu, Investor Relations. Please go ahead.
Sumit Kundu: Thank you, operator, and good morning. Welcome to Ballard's Third Quarter Financial and Operating Results Conference Call. Joining me today is Marty Neese, Ballard's President and Chief Executive Officer; and Kate Igbalode, our Senior Vice President and Chief Financial Officer. Before we begin, please note that we will be making forward-looking statements that are based on management's current expectations, beliefs and assumptions concerning future events. Actual results could be materially different. Please refer to our most recent annual information form and other public filings for our complete disclaimer and related information. I'll now turn the call over to Marty.
Marty Neese: Thank you, Sumit, and welcome, everyone, to our third quarter earnings call. Today, alongside our quarterly financial and operational highlights and updates on our market verticals, I'll share progress on our recent restructuring and strategic alignment, discuss our path toward becoming cash flow positive and provide updates on key developments across our global organization. I'll begin with an overview of our business and markets. Overall, I'm pleased with our performance in the quarter. We continue to progress on pace with order delivery resulting in a 120% year-over-year revenue increase, largely from our deliveries to the bus and rail segments, representing more than 70% of this quarter's revenue. Net order intake was approximately $19 million, and we achieved a positive gross margin of 15%, reflecting meaningful progress in reducing product costs and a net reduction in onerous contract provisions. While this margin result may not represent a new ratable baseline, it demonstrates the progress of our product cost improvements and overall profitability trajectory. Our revenue makeup highlights the importance of the bus market, a market we expect to continue growing in the coming years. I recently had the opportunity to attend Busworld and meet with bus OEMs and transit operators. What was truly eye-opening was the interest in electrification for buses has grown substantially with combustion engines largely absent from the show and an almost exclusive focus being on electric alternatives, including fuel cells. This is not surprising when considering that nearly 60% of new bus sales are now zero emission. In this electrified space, the advantages of fuel cells to serve a wide variety of routes, short refueling times and the increasing infrastructure costs in face of grid constraints is becoming ever clearer. As the market attractiveness and technical and competitive merits of fuel cell buses grow, so too is the competition in the fuel cell bus engine space. With new entrants coming in, it is more important than ever for us to continue to differentiate ourselves as the fuel cell industry leader. Here, we believe that our decades of innovation and hundreds of millions of delivered kilometers positions us well. Having the most experienced and most durable, reliable products with the lowest demonstrated total cost of ownership sets us apart. We are also ready for the next generation of buses. At Busworld, we launched the FCmove-SC, and initial feedback from OEMs has been very positive. Customers recognize the potential benefits of higher power density, simpler and more integrated functionality, a smaller, lighter footprint and higher operating temperatures. These are all features that lower their total cost of ownership. Further, we continue to improve our core stack lifetime and industry-leading durability. Taken together, our customers are excited with these innovations. In terms of timing, product availability is expected to line up well with OEM timing for homologation into their next generation of vehicles. Additionally, we are enhancing our product cost leadership and long product life with a more comprehensive focus on delivering best-in-class service. We are complementing our products with additional services, including digital operations and maintenance services, extended warranties, spares management and on-site and virtual technician training and support. Our strong balance sheet and commitment to long-term service and support sets us apart, and our customers are eager to engage with us further to enhance these offerings. Moving briefly to our rail and marine segments. We continue to see momentum for freight and passenger rail locomotives. Recently in a milestone for sustainable transportation, Stadler's FLIRT H2 hydrogen-powered train officially entered service in San Bernardino, California, another important step towards carbon-free public transit. The train sets a new benchmark for clean, efficient and passenger-friendly rail travel in the region that we are proud to be powering. In the marine segment, during the quarter, we recorded our largest order ever to the marine market with our order totaling 6.4 megawatts to eCAP and Samskip. These are both interesting markets for Ballard, though I would add that both these markets remain at early stage of development and customer adoption. For the stationary power market, let me address the topic that is particularly hot at this time, AI data centers. It is clear that the rapid growth and the need for data centers and related infrastructure is creating challenges for local grids, and there is a shift to evaluate potential sources of off-grid power as well as address CO2 emissions rules and noise requirements in many jurisdictions. This applies for both backup and primary power sources. Ballard's stationary solutions to date have demonstrated that we can supply kilowatts to megawatts of power. Our near-term product offering for this market is focused on backup power solutions to replace diesel generators. Unit volumes in our forecast continue to increase as does our product evolution from hundreds of kilowatts to multi megawatts. We are leveraging these factors to innovate further with our stationary power and data center customers. Our FCmove-XD product enables us to increase power densities today to 500 kilowatts and up to 2 to 3 megawatts in a small form factor module in the near future. This leading power density in a compact footprint opens the door to potential additional use cases. Hydrogen supply partnerships are essential, and we are actively working on collaboration opportunities in this area. This is an exciting area of product innovation. We will continue to provide updates as customer engagements develop further. Turning to our strategic realignment. We are making meaningful progress as we work toward cash flow positivity. On the cost side, our recent restructuring actions are delivering tangible benefits with significant reductions in cash operating costs and total operating expenses, excluding restructuring charges. On margin and revenue, we remain focused on driving down product costs and expanding our order book and total order back -- excuse me, backlog. Building out our order pipeline is taking additional time as we work with current customers to secure more sustainable contract terms, and some orders have shifted to Q4 2025 or Q1 2026. We believe this extra time is well invested to ensure long-term sustainability and appropriately balanced commercial agreements. Looking ahead to 2026 and '27, we anticipate further improvement in gross margins, supported by ongoing pricing and growth initiatives, additional product cost reductions and the initial sales of our FCmove-SC product. In addition, we expect further growth as we reenter the material handling market. We are seeing interest in our extended durability stack offering, which more than doubles current material handling stack lifetimes available in the market today. Customers see this product as an excellent way to increase their delivered value and lower their overall costs, especially related to stack service and maintenance. As mentioned, as we further refine our product offering for the stationary power market, we expect growth in this market as well. For both material handling and stationary power, we will provide more details on pipeline and order book conversion efforts as these potential opportunities mature. Taken together, these efforts are critical in moving us towards our goal of cash flow positivity. While there is still work to be done to achieve long-term sustainability, we are taking the right steps to grow our business in areas that make strategic sense, all while maintaining a strong balance sheet for our long-term resilience and in support of our customers. Moving to 2 other items of note for Ballard's global operations. First, due to changes in funding options and updated capacity outlook, we have decided not to pursue the Texas gigafactory development. Our analysis shows our existing global manufacturing capacity with minor adjustments will meet forecasted volumes. This decision underscores our commitment to capital discipline and focus on efficient execution. And second, as part of our strategic focus, we are further reducing our involvement in the Weichai Ballard joint venture in China, allowing us to concentrate resources on North America and Europe. Before I pass the call to Kate to review our financials, I would summarize this quarter as showing progress on our turnaround efforts. Year-over-year growth in shipments and revenue, progress on margin expansion, executing disciplined capital spending and launching compelling new products and services that deliver lower costs and more value to our customers is a really good start. There is much more to do to further transform the company and get to cash flow positivity, and we are committed to this overarching goal. With that, I'll turn the call over to Kate for a detailed review of our financial results.
Kate Igbalode: Thanks, Marty, and good morning, everyone. For the third quarter of 2025, Ballard delivered revenue of $32.5 million, an increase of 120% year-over-year, driven primarily by the bus and rail deliveries. Gross margin improved to 15% compared to negative 56% in Q3 2024, a 71 point improvement. This reflects lower manufacturing overhead, continued product cost reductions and a net reduction in onerous contract provisions. This reduction in onerous contract provisions, coupled with a higher margin onetime off-road sales transaction contributed to the outsized gross margin performance in the quarter. Without these onetime benefits, our gross margin would be slightly negative, still illustrating a market year-on-year and quarter-on-quarter improvement. As Marty highlighted, we continue to make measured progress towards gross margin expansion and expect this to be reflected in our 2026 outlook. Total operating expenses were $34.9 million, down 36% year-over-year or 55% lower when excluding restructuring costs. Cash operating costs declined 40% year-over-year as the benefits of restructuring actions flowed through to our results. The rightsizing of our corporate cost structure, while never easy, was critical for our long-term sustainability and financial health. Adjusted EBITDA improved to negative $31.2 million compared to negative $60.1 million in the prior year. Cash used by operating activities was $22.9 million, an improvement from $28.6 million in Q3 of 2024. We ended the quarter with $525.7 million in cash and cash equivalents, no bank debt and no near-term financing requirements. Our strong balance sheet and firm hand on prudent capital allocation is a key differentiator amongst peers and provides us with business flexibility and resilience in this dynamic macro environment. Looking ahead, consistent with prior practice, we are not providing specific revenue, net income or margin guidance given the early stage of market development. We continue to expect revenue to be back half weighted for the year and total operating expenses, excluding restructuring charges, are expected to be below the low end of our $100 million to $120 million guidance range. Including restructuring costs, expenses are expected to be towards the high end of the guidance range. We now expect capital expenditures of $8 million to $12 million, down from our prior guidance of $15 million to $25 million, reflecting disciplined capital allocation and deferred facility investments. Looking to 2026, you can expect us to maintain our lean organizational cost structure and continue to demonstrate capital discipline. Maintaining a healthy balance sheet and accelerating our pathway to profitability is critical for our success and to deliver value to our shareholders. With that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] The first question comes from Rob Brown with Lake Street Capital Markets.
Robert Brown: Just wanted to get your thoughts on the growth kind of rates in the bus market. Are there additional kind of growth [ order ] activity that you're pursuing and get a successful [ conference ] activity? But just wanted to get your sense on the growth rate in the bus market going forward.
Marty Neese: Yes. I would answer that, Rob, by saying that the reception at Busworld was tremendous. The new product is being very well received, and that's by both existing OEMs and some OEMs in development, if you will. Further, the constraints I mentioned around infrastructure pinch points for battery electric charging infrastructure, if you will, is starting to change the dynamics for fuel cells where we look much more compelling than previously outlined, if you will, relative to battery electric. So I would say that that's a good news for fuel cells story and starts pointing towards a larger fleet size adoption, especially where the infrastructure constraints can be overcome by adopting fuel cell buses. So in general, I would say Europe is making steady and improving progress and adoption rates for fuel cells. North America is essentially flattish year-over-year. And that's -- yes, that's where I'd leave it.
Robert Brown: Okay. And then quickly on gross margin. I think you talked about a slightly negative sort of adjusted out. Is that the baseline you expect to grow from or improve from going forward?
Marty Neese: The short answer is yes. But Kate, maybe you could provide some more details on the gross margin bridge for Q3 and then kind of what you're outlooking from there.
Kate Igbalode: Yes, absolutely. So you're spot on, Rob, in that in our remarks, we did highlight that without this kind of onetime pieces in the quarter, it would be slightly negative. I think that's kind of where we expect to close out in Q4 as well. And looking into 2026, again, I think you can expect low to mid-single digits on our gross margin. We don't provide margin guidance, but I think you do expect us to see incremental progress going forward from here on out.
Operator: The next question comes from Jeff Osborne with TD Cowen.
Jeffrey Osborne: I was going to ask on the former Project Forge and the Texas facility, some of the targets that were laid out for the restructuring there. Are those still achievable without the Texas facility? Can you remind me how important that was as it relates to getting gross margins higher than what Kate just mentioned?
Marty Neese: Yes. I would say Project Forge is primarily automation and materials efficiency. And that is, in fact, still in flight, yielding well, heading in the right direction and not dependent on Texas in any way, shape or form. Texas was more of an integrated view for complete stacks and modules with Project Forge and the automation being a core attribute. But that's being done in Canada as we speak. So we're good on that front.
Jeffrey Osborne: Good to hear. And then, Marty, you mentioned reentering the material handling space. I think from memory years ago, you were just in the liquid-cooled side for sort of the [ ride-on ] units versus, I think, the smaller pallet jack lifters were air-cooled. Are you doing both? Or are you just doing the liquid-cooled? Can you just further detail what specifically the strategy is on material handling?
Marty Neese: Yes. The near-term interest we're seeing is for air-cooled. And so air-cooled with additional durability is resonating well with a handful of new customers. And when I say additional durability, I mentioned at least 2x the state-of-the-art as we see the market today. That really is attractive when you think about the service obligations for customers over the long run. And so different customers are really valuing that in a more thoughtful way as they get more and more experienced servicing and managing a long lifetime fleet. And so that durability equation is starting to show economic clarity for them.
Operator: [Operator Instructions] The next question comes from Craig Irwin with ROTH Capital.
Andrew Scutt: It's Andrew on for Craig. One quick one for me. Congrats on signing your largest marine order to date with the Samskip vessels. I know you've been working with this partner for a couple of years now, I think, since 2021. So can you kind of talk about the -- just evolution of this agreement, how it came about and maybe what you can take away from it and learn from -- for other customers?
Marty Neese: Yes. I might pass that to Kate for additional clarity. But the headline is we have been developing this opportunity for a couple of years. And the product, FCwave product is DNV certified for a marine application. And so that took a good bit of time on certifications and standards bodies, but we were the first ones to do that. And after that heavy lift was complete on the certs, then we started seeing an adoption rate like the Samskip order. Noteworthy is that FCwave product has additional use cases beyond marine, and that certification of DNV, if you will, for the marine application, provided a lot of comfort to other customers in using that product and the approach that we use relative to that product. So that's kind of what I know from a background or context standpoint. If there's more relative to the contract evolution, Kate, that you want to add, feel free.
Kate Igbalode: No, I think those are excellent points, Marty. And I think I'm glad you asked about this, Andrew, because I think there's a number of key learnings, not only on a technical basis, but also commercial and contractual and how we work with customers. I mean these are large projects. They take years to develop and form. And I think for me, one of my big takeaways was how are we listening to our customers in terms of what's important to them from a technological point of view and how we're using that to inform our next generation of product development. And then I think the other piece, too, is understanding their entire ecosystem around how they're getting hydrogen supply at a cost that is affordable to them. So it's kind of looking at the whole holistic view of what it really takes to get these projects across the goal line. And it's a very collaborative effort for us with our technical teams, our commercial teams and also on the aftercare and service piece is incredibly important in these types of applications, which really require very high reliability and ease of maintenance. So I was really happy to be involved on this across the last number of years, and I'm thrilled to see it come to fruition.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Marty Neese for any closing remarks. Please go ahead.
Marty Neese: Thank you, everyone, for participating in today's call. Really appreciate it, and we look forward to providing additional updates in the future.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.